Raquel Cardasz: Good morning, everyone, and thank you for waiting. I'm Raquel Cardasz from IR, and we would like to welcome everyone to Pampa Energia's First Quarter 2024 Results Video Conference. We would like to inform you that this event is being recorded. All participants will be in listen-only mode, during the presentation. After the company's remarks, there will be a Q&A session. Questions can only be submitted in writing through Zoom. [Operator Instructions] Before proceeding, please read the disclaimer on the second page of our presentation. Let me mention that forward-looking statements are based on Pampa Energia's management beliefs and assumptions and information currently available to the company. They involve risks, uncertainties and assumptions, because they are related to future events that may or may not occur. Investors should understand that general economic and industry conditions and other operating factors could also affect the future results of Pampa Energia and could cause results to differ materially from those expressed in such forward-looking statements. Now I'll turn the video conference over to Lida. Please go ahead.
Lida Wang: Thank you, Raquel. Hello everyone and thank you for joining our conference call. I'll make a quick summary of Q1, you may find more details in our earnings release and financial statements. Today, we are having a Q&A with our CEO, Mr. Gustavo Mariani; our CFO, Mr. Nicolas Mindlin, Mr. Horacio Turri, our Head of E&P and also Adolfo Zuberbuhler, our Finance Director. Let's start with the quarter figures. After a soft Q4, gas and power demand recovered. Pampa delivered 31% higher gas production year-on-year and 32% quarter-on-quarter, thanks to the new gas pipeline online in August of last year. Remember that Pampa was awarded 4.9 million cubic meters per day out of 11 of the pipeline's capacity. This is very important as this late summer bloom prevented the country from importing gas and firing alternative fuels. Therefore, there is more local gas output, lesser FX outflow, a friendlier carbon footprint, and more power efficiency. Also, we kept boosting shale gas production, representing 40% of our total output of this quarter, a significant increase compared to last year's 14%. In contrast, we've been experiencing significant delays in collecting CAMMESA payments, burying higher working capital. We learned that the Secretariat of Energy instructed CAMMESA to pay December 2023 and January 2024's transactions in face value dollar bonds, so we booked a $34 million impairment loss on trade receivables. We are awaiting the final resolution and analyzing the course of action. The adjusted EBITDA for the quarter amounted to $189 million. This is a decrease of 8% compared to last year's amount because of the payment haircut on CAMMESA's January receivables and lower gas exports, in addition to the drop of petrochemicals and energy spot prices, this the latter affected by the sharp peso depreciation in December. Higher domestic gas demand and lower net operating costs partially offset these effects. However, the EBITDA grew 70% quarter-on-quarter, mainly due to this recovery in gas and power demand. Notice that the Q4 '23 EBITDA is also affected by CAMMESA haircut because of December's transaction. CapEx in Q1 slowed down, being 36% lower year-on-year, mainly because of the strong shale gas activity and PEPE 4 was developed in 2023, plus in Q1 we carried out the last divestments of PEPE 6, our last wind farm, which is estimated to be fully commissioned by October of this year. This was partially offset by the beginning of the pilot plan for shale oil in Rincon de Aranda. Moving on to power generation, as seen on slide four, we posted an adjusted EBITDA of $85 million in Q1, 22% lower year-on-year, mainly explained by the $17 million impairment of CAMMESA's January 2024 invoice explained before. It also impacted by the peso devaluation on the spot prices and Mario Cebreiro's divestment, partially offset by lower operating costs and the commissioning of PEPE 4 in June last year. Q4 dispatch increased 3% year-on-year, this is mainly due to Barragan's new CCGT, higher water levels at Mendoza hydros and PEPE 4's contribution, partially offset by lower fuel oil fired generation and Loma's gas turbine number five that, after being out of service for six months, resumed dispatch on January. Take or pay capacity payment, especially from PPAs, explains most of the EBITDA in this sector. It is driven by availability, and in Q1, we reached 96%, this is higher than last year's 93% because last year there was a lot of thermal outages. Let's do a quick review on PEPE 6 expansion, the project's progress is 89% advanced. So it's pretty advanced. We mounted the 8th wind turbine on Monday, as seen in the installation status report that you see here. Meanwhile, the towers components are keep arriving at the site. The four power transformers have already been commissioned, tested and cleared by CAMMESA and Transener, but they are still awaiting for China's approval. Finally, to avoid power transmission curtailments, we connected the wind farm to a new 500 kV high-voltage grid, the first three points line protection system is already online and the second has begun the process for commissioning. The estimated full COD will be in October of this year. PEPE 6 energy will be sold under B2B PPAs in matter. Moving on to E&P, I wanted to quickly comment on the gas deliveries, which recovered after Q4's soft demand, thanks to the late summer bloom. As you can see here, domestic sales are way above take or pay, although exports to Chile are still struggling but better off than last Q4. The winter season began this May and we are hitting peak production soon. Commenting on the segment's performance, on slide seven, our E&P business posted an adjusted EBITDA of $70 million in Q1. This is 14% higher year-on-year. This increase was driven by higher domestic gas demand, unlocked by the commissioning of this new pipeline and hot weather. Lower gas exports, which I mentioned before, and crude oil sales were lower offset this variations. In Q1, our total production averaged above 73,000 barrels of oil equivalent per day. This is 27% higher than last year. Zooming in oil represented 6% of our E&P output, but 16% of the segment's revenue. Gas keeps taking the lead, representing 94% of the total production. Higher maintenance, treatment and transportation costs in El Mangrullo and Sierra Chata due to increased activity explained that our total lifting cost slightly grew by 4% year-on-year. Still, this is very important, the rising output mostly positively impacted the lifting cost per boe, which decreased 19% year-on-year, recording $5.8 per boe. Also, this quarter, we started our activities in Rincon de Aranda, which yielded promising results. We completed one DUC well targeting Vaca Muerta with initial production of over 1,300 barrels and currently producing practically at the same rate. Once the well testing is done and Duplicar is partially commissioned, that is due in this year, a stage of it. We plan to resume production in the well tied-in back in 2018. Focusing on gas, our production in Q1 increased by 31% year-on-year and 32% quarter-on-quarter, averaging almost 12 million cubic meters per day again because of the local demand. 64% of the quarter's production came from El Mangrullo and 20% from Sierra Chata, both our flagship shale gas fields. Regarding the campaign, we drilled one well and completed another three, shale gas wells in Sierra Chata. The productivity was outstanding. So we almost doubled our gas production there. On the other hand, El Mangrullo experienced a 29% increase compared to last year, without drilled new drilled or tie-in wells. In non-operated areas, Rio Neuquen tied-in five wells this quarter, maintaining production levels. The average gas price for the quarter stood at $3.2 per million BTU, this is 18% down due to lower exports in volume and price to Chile as we explained before. We can see right below, the higher deliveries of local gas were destined for thermal power generation. The petrochemicals business posted $11 million of EBITDA in Q1, this is a 58% growth year-on-year mainly because of higher sales in the reformer and lower costs because of the FX, offset by soft domestic sales due to the economic activity and lower international prices. Quarter-on-quarter, the EBITDA decreased by 45%. This is mainly because the export dollar income was lower. The Reformer led the output mostly, offset by the reduced demand for Styrenics. Well, in Q1, moving to cash flow. We recorded a free cash outflow of $187 million. Besides the 17 million haircut on CAMMESA's January invoice that is impacted in EBITDA. This outflow is purely explained by the sharp increase in working capital due to the payment delays from CAMMESA, which rose from 73 to 89 days in the quarter. Now it is over 120 days if all three due bills are paid today. May 10 is the due of March invoice, so the debt will pile four bills if nothing changes. The higher working capital is offset by lower debt service mainly due to reduced peso stock, debt stock. However, we took advantage of the local market conditions and issued new debt to cover the increased working capital. Also, it is worth highlighting that we collected 45 million in dividends from OCP, a co-controlled oil pipeline company. This is the second largest and only private pipeline in Ecuador. In summary, we increased $11 million of net cash in the quarter, despite the high working capital, achieving an 845 million cash position by the end of March. Moving on to slide 12, we show our consolidated financial position, including our affiliates at ownership. But let's just focus on the restricted group that reflects the bond perimeter. We posted a gross debt of almost $1.6 billion, a 6% lower year-on-year and 10% growth in cash. We kept diversifying the currency and source of our debt and, as a result, 73% of the gross debt is in US dollars. The net debt recorded $718 million. It's 21% lower year-on-year, and 1.1 times leverage. The average life was 2.8 years. Until 2027, we do not face any relevant debt maturities. So this concludes our presentation. Now, I will turn the word to Raquel. She will poll for questions. Thank you very much.
Raquel Cardasz: Thank you very much, Lida. The floor is now open for questions. [Operator Instructions] So the first question comes from Ann Mill from Bank of America. The first question is, how do you see the evolution of the power generation sector on such things as spot energy pricing and price adjustments, construction on future generation facilities, future PPA contracts and what are the implications for the profitability of Argentine generators.
Gustavo Mariani: Hi, Ann. Good morning. Thank you for your question. Unfortunately, this discussion that is public with the Secretary of Energy and with the Ministry of Economy regarding the CAMMESA payments have put on hold all the conversations regarding regulatory changes going forward. I hope that we are a few weeks away from being able to start those conversations again or that the Secretary of Energy could focus on this issue. Certainly, the spot energy pricing needs an adjustment. Desperately needs an adjustment very soon. So we hope that the secretary will have time to focus on this issue in the next few weeks, but we don't have any visibility on that matter. Regarding construction of future generation facilities, as you know the auction that was awarded at the very end of the last administration has been put on hold or more than put on hold all the signals are that it will be canceled. So there is no visibility there. And you also asked about future PPAs, but I don't believe that this administration is thinking about PPAs at least not in a way that we have seen in the last decade. It's not PPAs where the counterparty. It's basically CAMMESA or the Secretary of Energy. But probably the scheme that this new administration will propose will be PPAs where the counterparty of the power generation will be the distribution companies directly. But that is the regulatory change that has been mentioned and likely discussed with the authorities, but we haven't seen that, again, we had those conversations during our summer. But since then, there's not been further discussion on this topic.
Raquel Cardasz: Thank you very much, Gus. And second question is, can you provide an update on the construction of the various new pipelines that will help producers to evacuate production during off peak times or sales to neighbor countries such as Bolivia, Brazil and others.
Gustavo Mariani: There are currently a couple of things. One is the reversion of the North pipeline, the pipeline that currently brings gas from Bolivia and from the North Basin of Argentina to the Center of Argentina. That pipeline is in the process of reversing its flow of gas. Now it's coming North to South. And once this reversion is completed, natural gas from the Neuquen Basin will be able to reach the north part of the country and eventually Bolivia. Unfortunately, we don't see this infrastructure being completed by this winter. We hope it will be completed by the end of the year by next summer or early next year. So it will be online by then. Just to keep in mind that will not increase the amount of gas that the Neuquen Basin will be able to export, but rather gas that currently goes to literal to the east side of Argentina, we will be able to reach the north part of Argentina that because of the decrease in imports from Bolivia because of the decline of production there needs to be satisfied. While the east side of the country could be supplied with LNG or eventually with liquid fuels. The other important infrastructure project is the completion of the gas compression plant in the Gasoducto Nestor Kirchner . So the first tranche of the Gasoducto Nestor Kirchner was put online at the middle of last winter. Now the two compression plants will be able to double the capacity of that first tranche of the Gasoducto Nestor Kirchner. The first of that compression plant will be ready, we hope, in the next month or so. Before the end of the winter, increasing the capacity of the pipe in 6 million cubic meters of natural gas per day. The other 5 million will be once the second compression plant is ready, which we expect we don't have much visibility, but we expect will be by the end of the year or during the summer.
Raquel Cardasz: Thank you very much. The last question from Ann is, are there any other regulatory changes that are you monitoring closely.
Gustavo Mariani: No. As I said, all the attention has been, unfortunately, during the last couple of months has been on this issue of the payment. So we hope to be able to resume the Secretary of Energy can focus on these other regulatory changes in the next few weeks.
Raquel Cardasz: Thank you, Gus. Now Alejandro Demichelis from Jefferies has three questions. First one says, could you please provide an update on negotiations with CAMMESA regarding payments and a potential bond? Could you please confirm the outstanding balance with CAMMESA.
Gustavo Mariani: Yes. Thank you, Alejandro, for the question. I think you all know it was released yesterday published in the official gazette this morning, Resolution 58. Basically, Resolution 58, what says is in Capsula it puts into brackets the payments of the transactions of December, January and February of this year and the proposal is to pay December and January transactions with bonds that currently trade at around 50%. And the transaction of February will be paid in cash. This is assuming that the generator reached an set of this agreement with CAMMESA. In terms of numbers, the December and January transaction for Pampa is ARS85 billion. That is what the Ministry of Economy is proposing to pay with bonds. And the February transaction is ARS53 billion. This is -- what it means we need further clarifications on the resolution that has been published. It implies a significant haircut. And as Lida explained, we have already accounted for that on our balance sheet. What is, I think, is already public as well is that AGEERA, which is the association of all the power generators of the country, have formally rejected the proposal in the name of all its private members. I mentioned private because AGEERA is composed both of private generators and state-owned generators. We believe this is an ongoing negotiation. We are very optimistic that an agreement could be reached with the government with minor improvements and taking into account the restrictions that the Secretary of Energy the treasury is facing. Obviously, as we and all the power generators have -- that all the creditors of CAMMESA have mentioned that is crucial to this negotiation is the fact that we have going forward, the visibility that payments will begin to be current and on time from now onwards. So that the stock of that, the one that we are taking a haircut on is limited and will not continue increasing. So again there's not much that I can tell you, but we are optimistic that an agreement will be reached, but we then not accepting this current proposal.
Raquel Cardasz: Thank you, Gus. Next question from Alejandra. He wants to know how do you see upstream volumes evolving during rest of 2024?
Horacio Turri: Okay. Good morning to everybody. Going to your question, Alejandro, we have to separate between gas and oil. In terms of gas, as Lida mentioned before, the demand is picking up. So currently, we are delivering a bit more than 14 million cubic meters a day. Our commitment, total delivery is in the range of 15.7% for the winter, which we think is going to be achievable. And then this includes approximately 600,000 cubic meters of exports to Chile during the winter season. And then we will probably go back to the 13.8% that we also have committed for the off-peak season, including around nearly 1 million cubic meters per day exports to Chile. So that's regarding natural gas. In terms of oil, we will see a significant decrease in Pampa's production. We are currently in the range of 4,500 barrels per day with the Rincon de Aranda 2001, delivering 1,300 barrels a day plus the tying in of the Rincon de Aranda 2000 is approximately are more than 400 barrels a day. We will be adding up like 1,800 barrels a day of crude oil, which represents a little bit less than 50% of our contraction.
Raquel Cardasz: Thank you. And Alejandra also wants to know an update on the performance of the Rincon de Aranda block.
Horacio Turri: Okay. Going to Rincon de Aranda 2001 well, we have very good news. The well was extremely successful. We reached almost 1,400 barrels per day of initial production, which gives you an EUR of around 1.3 million barrels to 1.4 million barrels. This is particularly good. If you compare this well with the average of wells that had been drilled with 2,000 meters of lateral leg in the area. You can see there in the slide that we rank among the top three when we compare with La Amarga Chica, Baja del Palo and Aguada Canepa, which approximately accounts for around 300 wells. We see that the behavior of the Rincon de Aranda 2001 is very promising. And as you can see also in the slide, we are way above the average wells that have been drilled with 2,000 meters of lateral legs by far. They accounted for initial production of 150. We are in more than 200 and also the EURs are particularly above that. In terms of future development, we foresee the drilling and completion of two parts during 2024, 2025, which have the basically the objective of derisking the area and also adding up production. If we are successful with these two pads, we will be adding up approximately 2,000 cubic meters per day to the current production. And the only constraint we will be facing is the transportation capacity to evacuate this oil into the Bahia Blanca Port. We already acquired 1,000 additional capacity from the older valve bid and we are optimistic that we will be able to find alternative ways of moving that oil into the export facilities in Bahia Blanca.
Raquel Cardasz: Thank you very much, Horacio. Yes, Gustavo.
Gustavo Mariani: Sorry if I could just to add to Horacio is just to recall to all of you that Rincon de Aranda is the area that last year, we acquired the other 50% from our former partner by swapping by exchanging a wind farm of 100 megawatts that we own in exchange for their 50% ownership in the area. Rincon de Aranda is 240 square kilometers or 60,000 acres area. And we knew at that moment that we were doing a very good and cheap transaction, probably the cheapest acquisition of acreage in the Vaca Muerta area. Now with the results of this first well and having the first well among the best three of the area is extremely optimistic. So confirms that we did an excellent transaction and we are very optimistic with the development of this area moving forward.
Horacio Turri: Sorry just a little bit more information about Rincon de Aranda. As Gustavo mentioned, those 60,000 acres account for approximately 220 wells that could be drilled. And we think that in due time, we might be able to achieve a total production ranging from 35,000 to 40,000 barrels a day. So it's quite a challenge and an opportunity for Pampa in the shale oil segment.
Raquel Cardasz: Thank you very much. Next question comes from Gustavo Faria from Bank of America. The first one says, last week, Brazilian government stated its intentions to import gas of Vaca Muerta. In your view, what is the most feasible time line for this? Do you have any preliminary estimates on how Pampa's gas production could grow? And what internal CapEx should you perform to increase the gas production?
Horacio Turri: All right. Currently, we know that there have been developing negotiations between the Brazilian and the Argentinian government to make use of this off-peak gas capacity. We are still waiting for the outcome. There are different alternatives in place. One of them is making use of the current Bolivian gas pipeline capacity in order to export gas from Argentina. This necessarily needs the second tranche of the Nestor Kirchner pipeline to be finished as well as the reversion Gustavo mentioned before. Either if we want to go through Bolivia or through the Uruguaiana pipeline connecting Uruguaiana to Porto Alegre. So we are still trying to understand what the final negotiations will end up with, but definitely, this would add off-peak demand of around 20 million to 40 million cubic meters per day. And if the necessary capacity is built in order to overcome the winter shortage, we eventually might have that additional capacity all year round. But we are just seeing the first steps of the negotiation.
Raquel Cardasz: Thank you very much, Horacio. Next question comes from Bruno Montanari from Morgan Stanley. The first one says, regarding the developers with backup with CAMMESA's past due receivables and credit impairment other than the impact this has on the working capital pressure. What other financial implications could arise from the current situation based on the company's interactions with CAMMESA and the government, what is the best alternative to fix the current problem. Given that the mindset of the current administration is to have free market practices across all sectors, should we see a faster pace of tariff hikes to the consumer, which would allow CAMMESA to honor its payments with the power industry.
Gustavo Mariani: Difficult question to answer, Bruno. Regarding credit impairments, I believe, basically what the haircut that we took into account in the first quarter accounts for roughly 40% discount. I think worst case scenario could be in the 50% discount range. So it would be a marginal further haircut that we may need to take. Regarding ongoing working capital pressure, I hope and as I explained before, I hope we have seen the worst and that from now onwards, CAMMESA will begin to pay current and on time. That is crucial to the agreement. And I think that the Secretary of Energy has been doing an excellent job in order to ensure that basically doing what it needed to be done the most that was increasing tariffs and a significant portion of the demand is currently paying the full price of electricity. Only those, what we call the N2 and N3 that are the lower and middle income of residential users are still subsidized. And those I think it will need to continue to be subsidized and the pace at which those subsidiaries will disappear. I'm not in a condition to say that it's more related to not it's more a political and social issue that the government needs to decide on. Make sure if I Let me read the question or see if there's anything else that I'm missing. [Foreign Language]. It was a long question. So just a shorter question, so I can answer them completely. Well I think I have basically covered.
Raquel Cardasz: Thank you very much, Gus. Second question from Bruno is, Pampa has indicated it wants to pursue investment in its shale oil acreage. How should we think about the time line for CapEx acceleration? And how does the issue with CAMMESA impact the capital allocation through process in the short to medium term?
Horacio Turri: Okay. We don't see any relationship between the CAMMESA problem and our investments in oil. It's a completely different market. And we don't see any relation between those two. Regarding the investment pace, sorry, as we mentioned before, we will probably be drilling and completing two pads that of four wells each, so it's a total of eight wells, and that will account to approximately $160 million plus the necessary facilities in order to evacuate that initial production.
Raquel Cardasz: Thank you, Horacio. Next question comes from Lilyanna Yang from HSBC. First one says, could you give more detail about the write-off of CAMMESA receivables? And in which circumstances you would be able to reverse such write-off unexpected payment for the remaining balance.
Gustavo Mariani: Sorry, more details about the write-off. The write-off, as I explained before, December and January transactions account for ARS85 billion, that is capital plus interest. Regarding the interest, there is a doubt how those will be accounted for, whether we should do a complete write-off whether they will be paid with bonds or whether they will be paid in cash. The three alternatives and it's not clear what the proposal is. And just depending on that outcome, the discount could be between 30% and 50%. So our write-off stands right in the middle. It could be a slight decrease or increase depending the final outcome of the negotiation in the case that we eventually decide to accept the proposal if we are being granted other issues that are not related to the discount, but with things that may happen in the future. As this is an ongoing negotiation, I'd rather don't give much information.
Raquel Cardasz: Thank you, Gus. Next question from Lilyanna says, if we can give an update on the Nestor Kirchner pipeline status and outlook for easing the infrastructure constraint. And if there are any changes in the outlook for the pricing scheme of natural gas?
Gustavo Mariani: Okay. I think also we covered this. But again, Gasoducto Nestor Kirchner increased the evacuation capacity from the Neuquen Basin in 11 million cubic meters of natural gas per day that happened in August of last year. Once the two compression plants that are currently being built are ready, the capacity doubles. So it goes from 11 to 22. The first of this compression plant will be ready in a month or so increasing 6 million, so going from 11 to 17. Once the second compression plant is ready, goes from 17 million to 22 million cubic meters. And the other question is any changes in the outlook of, as you know, there is the plan gas scheme that hasn't basically said volume and prices, commitment of volume and prices for the industry until 2028. So no, we are not expecting any changes to that.
Raquel Cardasz: Thank you, Gus. Next question comes from Paula La Greca from TPCG. First one says, is there any other Energia SA tariff increase in the upcoming months? The last one was 74% in February.
Gustavo Mariani: Hi, Paula. Yes, you are right. It was a 74% increase in February. I don't recall when it was the previous adjustment, but I think it was in February of former year. So this 74% lagged significantly. The inflation that was accumulated throughout the former 12 months. So it was short of the expectation of the industry. And since then, we have been running, unfortunately, high inflation every month. So we hope it will come in the next few months. Actually, we hope it will come in the next few weeks. But honestly, I cannot give you any clarity because, as I said previously, there haven't been any at least from our side. I don't know of our colleagues, but from ourselves, there hasn't been any discussion with the authorities.
Raquel Cardasz: Thank you, Gus. The second question from Paula says, would you please give more color on the petrochemical business sales.
Gustavo Mariani: The petrochemical business sales. The Petchem business has two parts. One, what we call the reformer that it's a business that its drivers are more related to international prices, basically price of crude, vis-a-vis refined products and this international spread of those pricing drives the economics of this part of the business, which in the past few years have been profitable or has been in good levels vis-a-vis former years and at least what we are seeing in the future markets is that this trend will continue. The other part of the business, what we call the credit cost, those are more related to the economic activity, especially because it's related to across all industries, especially constructions, but many other industries, durables, many other industries are, we are suppliers of many industries. And so it's more dependent on the economic activity of the country. We have already seen significant declines of 15%, 20%, 25% vis-a-vis and part of that you've seen that on the figures that we published yesterday. And we think that this trend will continue until the rebound of the economy comes, hopefully at some point in the second semester.
Raquel Cardasz: Thank you very much, Gus. Next question comes from Marina Mertens from Latin Securities. First one says, which amount will be considered when calculating the outstanding debt. Will it include accrued interest and FX differences. Is there a possibility of recognizing an additional amount.
Gustavo Mariani: But I think I already covered this. To summarize and to make it easier, we accounted for a 40% haircut. We think worst case scenario will be in the 50% haircut. So we will have to provision or to reflect a loss of an additional 10% of this ARS85 billion that is the total amount that is being that is not paying in cash that will -- that the proposal of the government is to pay the bonds. So assuming that we accept this proposal as CDs, we might need to take a further 10% haircut.
Raquel Cardasz: Thank you, Gus. Next question says, could the approval of the late day assets have any impact on your operations and our strategy.
Gustavo Mariani: I think going forward, what is very important, not only for us, but for all our colleagues is the RIGI, the scheme that incentivize big infrastructure project. I think that is for many infrastructure projects that could where Pampa or its subsidiaries as TCS could participate. This is an important issue that comes with the late day assets.
Raquel Cardasz: Thank you very much, Gus. Next question comes from Ezequiel Fernandez from Balanz. The first one, he wants to know, for the oil and gas segment. If I take the cubic meters of gas sold at the reported price and the gas sold at the reported price and calculate the sales, I end up quite far from the total sales reported for the segment. What's the difference? You've seen a conversion factor of 0.053 for cubic meters BTU in gas.
Lida Wang: I will give you later the answer, but I think you are converting wrongly. But we produce what we sell, we don't buy trading so far at least in this quarter.
Raquel Cardasz: Thank you. How many unconventional wells were connected in 2023 and 2022, net at working interest?
Horacio Turri: In 2022, when we say unconventional, we are talking about tight gas and shale. So in 2022, we drilled 20 wells to 20 tight gas wells. That's a 100% participation in El Mangrullo and 2.5 wells at the working interest in Sierra Chata, and during 2023, we drilled 25 wells in Sierra Chata and El Mangrullo together out of approximately half and half El Mangrullo and Sierra Chata. So that would end up with 18.5 wells at the working interest.
Raquel Cardasz: Thank you very much. Next one, he wants to know about Rincon de Aranda any updates on how you plan to proceed timing initial context, number of wells, perhaps looking for a partner to develop the area.
Horacio Turri: I think we already covered this question. As we mentioned before, we will be drilling two parts by the end of '24, beginning of '25. And depending on the results, we will keep on with the developing land in the coming years, subject to obtaining a vacation for the production. There are no partners.
Raquel Cardasz: Thank you, Horacio. Next one Fazio wants to know if there is any update on hydro concessions.
Gustavo Mariani: No, again, we haven't had any talks with the Secretary of Energy other than the issue of the payment. So I understand for those that have already matured, there's going to be a further extension for a few months and that as supposedly, after that, they will return to state-owned by ENARSA. But I don't know what are the plans going forward, whether there will be auction for operational maintenance. I don't know. No information.
Raquel Cardasz: Thank you, Gus. Next one from Florencia. She wants to know when we start to see lower CapEx.
Gustavo Mariani: I think CapEx will be lower than the previous year. For example, in terms of natural gas and thanks to the excellent productivity of the last wells that we have drilled, we don't need to drill any new well until the beginning of next winter, just a few wells in order to maintain production flat approximately three, four wells. Yes, three, four wells to keep production flat and those willing to be in operation by the beginning of next winter, winter of 2025. And the CapEx that will continue to be high will be in order to develop Rincon de Aranda, which we are eager to do them.
Raquel Cardasz: Thank you, Gus. We have one more question from Ezequiel Fernandez from Balanz. He asks, when could Pampa start paying corporate taxes, do you still have tax assets for lost harvesting?
Gustavo Mariani: We believe, yes, we continue to have a tax tariff forward loss that will probably extinguish 1.5 years from now, so probably in 2026. It will be the first that will be a year where that loss carryforward will extinguish.
Raquel Cardasz: Thank you very much. Next one is from David Pardo from Puente Hermanos. He says as YPF and [indiscernible] have recently retained the international markets. Do you expect to issue new debt during the year?
Nicolas Mindlin: So, hello, everyone. So as of today, we have a solid financial position and we don't have significant maturities until 2027. So we are not in a hurry to issue new debt in international markets right now. So I think we will only do that in the case we need financing for an M&A opportunity or if there is a really good window in the market, but there is not a particular need right now. Also, in our last shareholders' meeting, we approved the issuance of our convertible one. So probably if market conditions are met, we could do that, and it will be an interesting opportunity to finance the company at very competitive rates, also taking into account that we repurchased almost 30% of our ADRs at much lower price.
Raquel Cardasz: Thank you, Nico. Next questions are from [indiscernible]. First one says, what would be the impact of the new investment regime included in the omnibus bill for Pampa?
Gustavo Mariani: The impact will be that big infrastructure projects that are difficult to finance and this scheme makes it more possible. So though that is the benefit of the scheme that big infrastructure projects that have a modest IRR, the fiscal incentives makes it possible. That is not for Pampa, that's basically the incentive of the RIGI for all big infrastructure projects.
Raquel Cardasz: Thank you, Gus. The next one says, if CapEx is lower this year, could we expect a dividend distribution?
Gustavo Mariani: We haven't taken that decision within that Argentina has proven to be -- has always proven to be a very volatile market and Pampa's strong financial position has proven to be the right strategy and you can see that in this situation, we have almost, we have not received any payment from CAMMESA, which is accounts from 40%, 45% of our sales. We haven't received any payment for four months. That would have put us in a stress situation that is basically $200 million working capital need. And so we are very happy to have the strong financial situation that we see. On the other hand, it allows us to pursue M&A transactions that we don't have anything in the pipeline write-down, but we like to be ready if an opportunity appears. So that's a corporate strategy as of now.
Raquel Cardasz: All right. Next question from Ignacio [indiscernible] I think it's pronounced from Iberdrola SA. Do you think that there's still room for lower lifting cost in shale oil? Or at this level, the company reached bottom?
Horacio Turri: Hi. We definitely see the possibility of lowering significantly the shale oil lifting costs because we are basically working today with extended testing facility. So once we have the final facility in place, we will see a significant reduction in our lifting costs.
Raquel Cardasz: Thank you, Horacio. Next question from Santiago Herrera from Allaria. He says, in respect to Transener, CAMMESA paid in April, the outstanding debt of 42 -- $25 million on previous quaters.
Horacio Turri: All the transmission companies, CAMMESA is current on transmission with transmission companies, the CAMMESA. There's been an -- I think it was in February a resolution of the Secretary of Energy given transmission company priority vis-a-vis other creditors of CAMMESA. And so transmission companies are being paid on time. So I don't know what the ARS42 million deb that he's referring to. I don't know what is that.
Raquel Cardasz: Thank you. Next one from David Pardo from Puente Hermanos. This is what do you expect --what do you expect Pampa's output through Duplicar to be once it is online.
Horacio Turri: We acquired 1,000 cubic meters per day of additional capacity through the Duplicar. So that's going to be the additional out. That's 1,000 cubic meters, 6,000 barrels.
Raquel Cardasz: Thank you, Horacio. Next question comes from Fabio Brando. Could you please explain the deferred tax account in more in detail? Has it had a significant impact on the net income? Also why does higher inflation and currency depreciation affected?
Nicolas Mindlin: Perfect. So the basic explanation is that for tax purposes, fixed assets are valued in pesos adjusted by inflation. So when inflation is higher than the valuation, they are appreciated in dollars. Consequently, the depreciation for tax purposes is higher than the one in the balance sheet, generating a tax credit for the company. This happens basically because our financial statements use the US dollar as its functional currency. But for tax purposes, you have to use pesos.
Lida Wang: There's a lot of questions, but we hit the top of the hour. Actually we are --
Gustavo Mariani: Anything relevant that we haven't covered?
Lida Wang: No. We covered most. Do you hear me well?
Gustavo Mariani: Yes.
Raquel Cardasz: Yes.
Lida Wang: Fair well. So we covered all the topics, the most important topics of this quarter. We are 1 hour 15, the few questions left, they are very minimal, but we will, as you know, Raquel and I will cover you. We will try to reach you all and answer them or if you have any questions that we didn't have in this call, I think we did, just don't mind to contact us to reach us out and talk about it. We thank you very much for joining our call. It was a pretty full one. If you have any questions, you know how to reach us out. You can e-mail us or contact through the website. Thank you so much and have a good day.
End of Q&A: